Walter Ruddy: Good afternoon, everyone. And thank you for participating in Porch Group’s Fourth Quarter and Full Year Conference Call. Joining us today are Matt Ehrlichman, Porch Group’s Founder, CEO, Chairman and President [ph]; Marty Heimbigner, Porch Group’s CFO; Matthew Neagle, Porch Group’s COO; and Nicole Pelley, Porch Group’s SVP of Product and Technology. Before we go further, I’d like to read from the company’s Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Today’s discussion includes -- including in response to your questions reflects management’s view, as of today, March 1, 2022, only. We do not undertake any obligations to update or revise this information. Additionally, we will make forward looking statements about our future financial or business performance or conditions, business strategy and plans and anticipated impacts from pending or completed acquisitions based on current expectations and assumptions. These statements are subject to risks and uncertainties, which could cause our actual results to differ materially from those forward-looking statements. And we encourage you to consider the risk factors described in our SEC filings for additional information. For reconciliation of non-GAAP measures to most comparable GAAP measures discussed during the earnings call, please refer to tables included in today’s earnings press release located on porchgroup.com and on file with the SEC. To submit a question during today’s presentation, please log into the webinar and submit it through the chat function. Management will do its best to take all questions with -- within the allotted time. As a reminder, this webcast will be available for replay shortly after the conclusion of this presentation on the Investor Relations section of the company’s website at porchgroup.com and the slide presentation will also follow the presenter’s commentary and can be found on the company’s website as well. Today in addition to covering Q4 and year end 2021 results, SEC filing information, 2022 guidance and our KPIs, our team will provide an update on product, M&A performance, forward looking milestones, including future profitability. And with that, let me turn the call over to Matt Ehrlichman, CEO, Chairman and founder of Porch Group. Matt?
Matt Ehrlichman: Thanks, Walter. Hello, everybody. Good to be here. It was an exceptional first year as a public company. I want to highlight a handful of things as I kick us off today? First, we solidified our position as a leading software provider to companies in strategic home service verticals including home inspection, mortgage, title, moving and roofing, with market share expected to continue to grow nicely in 2022. Second, we continue to leverage these relationships with companies to meet consumers at advantaged and unique moments in time and provide a differentiated experience to help make moving and homeownership easy. We now offer full digital quotes nationwide, across Insurance, local moving labor, full service moving, TV, internet and more. In 15 states we now offer own Insurance products and are integrating Home Warranty and maintenance services to create a full home protection plan. Third, our financial results were strong, demonstrating our ability to monetize our platform, improve margins and execute the plan we laid out when we went public in 2020. At the start of 2021, our trailing revenue was $72 million and we provided forward guidance at $120 million for the 2021 year. Our business finished 2021 at $192.4 million in revenue, which was 166% growth year-over-year, 71% revenue less cost of revenue margin, 41% contribution margin and negative 13.8% adjusted EBITDA margin. In terms of revenue, specifically, at our Homeowners of America business, note in our year end closing process, we adjusted how we account for HOA’s claim fee revenue under GAAP from gross revenue, which had been their historical approach to net revenue, which is the correct approach. This was a $7.5 million adjustment to both revenue and cost of revenue that has no impact to HOA’s business fundamentals nor EBITDA and it obviously improves then its revenue less cost of revenue margins. Marty is going to cover this further in his remarks to follow on accounting and financial disclosure. So looking at 2022, the business is performing extremely well and we anticipate continued growth and adjusted EBITDA improvements on both dollar and percentage basis. Revenue guidance for 2022 is $320 million, $302.5 million from the base business, $10 million from the planned CSE acquisition, which we expect to close in mid-2022 and approximately $8 million in revenue expected from the planned acquisition of Residential Warranty Services or RWS, which we signed just yesterday. We expect to deliver better than 400 basis points of adjusted EBITDA margin improvement, as well as an improvement in our actual adjusted EBITDA dollar performance. We are also guiding to $600 million in gross written premium for 2022. Whereas compared to 2021, gross written premium is expected to almost double year-over-year. In our deep dives later in the discussion we are providing for the first time our expected timeline for future profitability, which we expect to manage towards in the second half of 2023 and for the full year 2024, and to reiterate our midterm target of getting $1.5 billion in revenue. So a lot to share. I am looking forward to it. Let’s dig in. So looking here at slide six, we have executing our unique strategy in the home services industry to provide software and services to select strategic verticals to help companies grow. And by doing so, we generate B2B recurring software revenue, as well as gain early and ongoing access to homebuyers, who we helped to improve their home buying home ownership journey and generate consistent B2B2C transaction revenues by helping with the purchase of important services such as Insurance. Starting from the top of slide seven, our priorities for 2022 build on the success we had in 2021. So number one, to sell vertical software in more companies, our core go-to-market. Two, to embed key services and consumer experiences into our software products in a variety of ways to get in front of more consumers and increase our B2B2C transactions. Three, to continue to grow our Insurance business both rapidly and profitably, including launching new products and in new geographies. Four, continue to build out our Data Platform and start to leverage Porch’s unique insights to improve pricing for our Insurance and warranty products. Five, extend our key consumer experiences such as our app to consumers that we get unique early access to in order to increase conversion rates. And then, lastly, to continue to acquire select strategic and accretive companies that deepen our competitive moats and accelerate the growth of these companies. With that, I will turn it over to Marty Heimbigner, our CFO to discuss our Q4 and full year results and guidance for 2022. Marty?
Marty Heimbigner: Thanks, Matt, and good afternoon, everyone. Thank you for joining the call today. Let’s turn to our business and the results. As we was mentioned our business is performing very well. We entered 2021 looking to exceed our $120 million start of the year guidance. Ending the year at $192.4 million of revenue and 166% growth certainly was more than we anticipated at the beginning of the year and a testament to the great work by the Porch Group teams. As you can see, on slide nine, the year-over-year comparison of our fourth quarter results were strong by every measure. Revenue less cost of revenue was 79%, contribution margin was 44% and adjusted EBITDA margin was a negative 15%. All improved nicely from the fourth quarter of 2020. Revenue growth in Q4 2021 versus the prior year was up 172% to $51.6 million. As we look at the comparison to previous guidance here on slide 10, our guidance number of $195 million of revenue included the assumption of HOA’s claims fee revenue continuing to be booked on a gross basis as it had historically been. Instead, this estimate of $7.5 million should have been reflected as a contract claims expense and not as revenue, because of our reinsurance ceding. Thus, our guidance number would have been $187.5 million of revenue had we reflected this change in guidance. The actual financial results of $192.4 million of revenue for the year ended December 31, 2021, have appropriately accounted for this issue with no net impact on adjusted EBITDA loss as reported. We finished the year at $192.4 million in revenue, with each of our margin lines performing better than previous guidance. Adjusted EBITDA finished at negative 13.8% for the year, an improvement from negative 25% in 2020. Here on slide 11, we show the substantial improvements and performance of the business over the last four years, a 75% compound annual growth rate and a 5x improvement in adjusted EBITDA margin. 2021, our first as a public company was a transformative year. Before we move to 2022 a few quick comments on the status of our annual report for the end of 2021, earlier today, we released our unaudited financial results for the quarter ended December 31, 2021. As further detailed in our earnings press release and our Form 12B-25 filing from earlier today, we expect to publish and file our audited financial results in our annual report on form 10-K by March 16, 2022. Of note, Porch Group became the large accelerated filer as of December 31, 20 21, and due to the expanded requirements associated with Sarbanes Oxley and the reduced filing time from 90 days to 60 days after year end, we could not file the form 10-K today without unreasonable effort or expense, particularly given the added complexity of being our first year as a public company, the Sarbanes Oxley regulations and the acquisitions Porch has completed. We do expect to determine that we have material weaknesses related to our internal controls over financial reporting. We expect the financial results reported in the unaudited financial statements included with our press release will not significantly change when we file our Form 10-K. Rest assured we understand the issues here and have solid plans to address our internal control environment in 2022. Now, let’s turn to 2022 in which we fully expect the momentum to continue. As Matt mentioned, at the start, we are guiding to $320 million in revenue and $210 million in revenue less cost of revenue, what we use as a measure of gross profitability. These figures and the following guidance take into consideration the announced but not closed acquisitions of CSE and RWS. We expect our revenue less cost of revenue margin percentage to be close to what we saw in 2021, with two slight impacts, the plan CSE and RWS acquisitions together do have a lower margin profile and we expect some slight mix shift in services sold to consumers as we continue to convert better with movers, a bit lower margin service. In terms of adjusted EBITDA, we are guiding to more than a 400 basis points year-over-year margin improvement, which produces close to negative 9% adjusted EBITDA margin. We would also like to note that even if revenue performs well and exceeds guidance, we are also guiding to improved year-over-year adjusted EBITDA dollar performance. We want to be clear that we are marching towards our long-term adjusted EBITDA margin targets. Related to our Insurance segment, we are also providing 2022 guidance for gross written premium of $600 million, approximately doubling from 2021. We are excited about the ongoing performance and momentum we are seeing here. Turning to slide 14, you can see the strong year-over-year growth we expect, 66% revenue growth, 53% growth in revenue less cost of revenue and 95% growth in gross written premium. During our Q3 2021 earnings call, we noted $226 million as our estimation of 2021 pro forma revenue inclusive full year impact of announced acquisitions. With the adjustment to HOA’s revenue recognition that figure would have been $220 million. On all measures we are pleased with the growth we are seeing. Porch is growing rapidly and accelerating with strategic and accretive M&A. You can see that here on slide 15, where in four years the business is expected to grow from $36 million in revenue to $320 million in revenue, a 73% compound annual growth rate. At the same time, the business has made consistent and significant strides towards our long-term 25% target adjusted EBITDA margins. We expect 2022 will represent another nice step forward in our adjusted EBITDA margins, improvement in our adjusted EBITDA dollar loss and importantly set us up to target profitable operations for the second half of 2023 and the full year of 2024, which we will discuss later in the call. With that, I will turn it over to our Chief Operating Officer, Matthew Neagle to discuss our operating segments and KPIs.
Matthew Neagle: Thank you, Marty. Hello, everyone. I will first jump in and share 2022 guidance for our operating segments and then we will look at our KPI performance for Q4. As you can see on slide 17, the most valuable, strategic and recurring elements of our revenues are growing the fastest. We generate revenue from our software through B2B SaaS fees and transactions. Overall, our vertical software segment is expected to be approximately $190 million in revenue in 2022. Of this, B2B software and services fees is the largest portion and is expected to be nearly $100 million, an increase of almost 2x from 2021. The other high retention and recurring portion of our business is Insurance segment revenue, expected to be 40% of overall revenue in 2022. This too is growing rapidly, 132% year-over-year growth to approximately $130 million in revenue, which is approximately 21% of our expected $600 million gross written premium. This is particularly important as it demonstrates our expectation in being one of the fastest growing InsurTech companies. Considering the scale, growth and competitive advantages of our insurance operation, we believe our Insurance business is highly valuable in its own right and it only represents 40% of our revenue. Turning to slide 18 and our KPIs. It is clear our business continues to perform well. Beginning with companies, we saw growth in the average number of companies in Q4 to more than 24,600, which is up from approximately 11,000 last year or 121% year-over-year growth. If you look at revenue per company per month, in Q4 is approximately $700 per month, which is up 26% from the same quarter prior year. Just as a reminder, and as you can see in prior years, revenue per company is lower in Q4 versus Q3, as there’s typically less transactional revenue due to fewer homebuyers in the offseason. We have seen strong growth in new companies with certain verticals, namely mortgage being lower revenue per company. We expect the growth rate of net new company ads to slow somewhat in 2022, which is something we have discussed previously. If you go to slide 19, we are excited to celebrate the milestone of having 1 million monetized services in the 2021 year. In Q4, we continue to see strong growth across all types of monetized services, with us recording 260,000 for the quarter, which represents 53% year-over-year growth. We saw $132 per monetized service, which is a 35% increase year-over-year. Insurance is still the fastest growing service with moving as a next and with a lot of momentum. Let’s now jump into additional disclosure related to our two operating segments. First, our vertical software segment, you have seen here on slide 20. We realize $35.5 million in revenue in Q4, which is $142 million run rate. Of this, the majority of B2B SaaS fees with the balance transactional revenue we generate from consumers who work with companies we serve. Adjusted EBITDA margins for this segment generally are lower in Q4 and Q1, given the seasonal aspect of this business. If you look on slide 21, our Insurance business continues to grow rapidly and demonstrate strong margins. In Q4 2021, grocery and premiums were $101 million, representing more than a $400 million annualized run rate, as we ended the year. Segment revenue was $16.1 million. This represents approximately 16% of gross written premium. As a reminder, there is less, but still some seasonality in this part of our business, with Q4 and Q1, typically being slower quarters, while conditions are prorated across the year, fee revenue is recognized when policies are sunk. We drive the significant majority of our Insurance segment revenue from insurance carrier commissions, reinsure ceding commissions and fees. Thus, as you see, we had strong underlying margins, including 21% adjusted EBITDA margin. Briefly on insurance KPIs, at the end of Q4, we had approximately 304,000 policyholders and we are generating an average of $211 of revenue per customer per year on a rolling 12-month basis as of December 2021, we had an 89% customer retention. We will now kick off the deep dives for this quarter. First, you will hear from Nicole Pelley, who leads our Product and Technology at Porch to provide a product update. And then Matt will update on M&A, including past performance, as well as longer term goals and milestones. Nicole over to you.
Nicole Pelley: Thanks, Matthew. Good afternoon, everyone. I am excited to share an update on our Porch Platform, our consumer app and give a sense for where we are heading with our consumer experience. There’s so much opportunity to help simplify the home from moving to improving and everything in between, and I am really proud of the work that our teams are doing here. First, I will take a moment to share our vision for the Porch Platform, which is comprised of, first, the centralized consumer experience that integrates with our vertical software products, drives transactional revenues and delights customers by helping make their move and home easier. And number two, a Data Platform that ingest unique and proprietary insights about properties, people and home products, which we use to improve the consumer experience and pricing a key services such as Insurance and Home Warranties. Our consumer experience includes API’s, so our software companies can integrate very specific services in a seamless and native way. For example, we have nearly completed embedding Insurance in a flow by mortgage completion process. It can also be deployed as an entire digital and concierge experience for companies to provide to their homebuyers. We launched our consumer app in Q4 2021 as another way to engage consumers, increase conversion rates and transaction revenue, and extend our relationship. To-date, the app is in a closed beta only available to consumers of home inspection companies. So let’s go ahead and jump into a quick demo. Turning to slide 24, when a consumer gets a home inspection, we can encourage them to download the app by providing supplementary information that makes managing their home easy. When a consumer gets started with us, we want to help them accomplish all the services they need for their new home. We believe our app will help increase the number of consumers we help with their move, increase the number of services we help them with and build a long-term relationship with the homeowner. The consumer is able to manage their entire home-related checklists here on slide 26. We keep it contextually relevant, knowing when the consumer is moving in and what the next need to complete. Here you can see that insurance is prioritized and we intend to continue to make it easier and easier over time to purchase. Today we also hope with movers, TV, internet, security systems, change of address, handyman services and more. Next up is the My Home section of our app, where consumers can access their Home Inspection Report and find their home details pre-populated based on this report. The majority of inspection reports include appliance and other system information. Any system included in the inspection report with a model number will be imported into the app with details we already know about that system, making model, approximate age and more. This makes it easy for the consumer to keep track of their home details and take care of their home. Looking ahead, by knowing the model number of a furnace, who we will be able to notify the user of a recall and remind the user to replace their furnace filter regularly, with a link to purchase the right size filter for their specific furnace. I will say that it’s been fun to see consumer reactions to this area of the app, very high consumer delight and unique to what Porch can provide given our proprietary insights. Here on slide 28, we want to make the Porch app to become the app to help consumers manage their home. As we make the app available to consumers across more of our software products, we will track and store all the contacts involved in their home purchase and all the professionals that consumer use is ongoing. We are just getting started on our app and have so much ahead in the coming years across our digital experiences. We are early days in terms of the opportunity to drive higher conversion rates. So what’s next? Here’s a quick preview. Not yet of -- this has not yet been built, but it’s where we are headed. We believe as Porch -- that Porch is poised in the future to become the app to simplify the move and manage the home on going. Only Porch has mortgage point-of-sale software, title software and inspection software. This means that we can provide the end-to-end mortgage and closing process, complete with key services, such as booking inspection and paying at close, instantly attaching insurance with differentiated pricing and facilitating what consumers need for their new home. With that, I will turn it back over to you, Matt.
Matt Ehrlichman: Let’s get up the call. I am certainly excited about the next few years, looks like and again to be clear, everything you saw there, except for that very last slide that some of the revisions, what the corner team are building, everything else is live and it has been exciting to get that that early, very positive feedback. So I’d like to wrap earnings call today with two final deep dives. First is related to our M&A performance. Here on slide 31, we are providing more concrete data related to what we have mentioned in the past. We have demonstrated significant and consistent ability to accelerate the growth of acquisitions when layering them into the Porch Platform. So companies acquired by Porch in the first half of 2021, improved revenue on average at 6% in the year prior to the acquisition and on average achieved 28% growth in 2021. In addition to this overall performance measure, we thought it would be useful, quite useful on a one-time basis to provide specific information on the five largest acquisitions Porch has ever done, ISN, Homeowners of America, Rynoh, American Home Protect and Floify. As you can see on the slide, the data largely speaks for itself. ISN has grown explosively over the years post acquisition. It was 45% growth during the year after the acquisition, with strong growth continuing since and this is through a combination of layering and transactional monetization, unlocking strong unit economics and scaling, the go-to-market. Homeowners of America was acquired in early Q2 2021, prior to Porch the business had grown gross written premium at a 19% compounded rate. In 2021, growth almost doubled to 35%, with strong momentum into 2022. Rynoh was acquired middle of last year with a similar story. Revenue growth has increased from 15% over the prior three years to 41% in 2021. American Home Protect had been growing policies nicely at a 26% CAGR for the three years prior to 2021 and has improved their growth to 41% in 2021. I will say we are thrilled about the growth we are seeing post-Porch ownership and believe there’s a large opportunity for us to rapidly scale our warranty businesses. Floify was acquired in Q4 2021, with a track record of 50% compounded annual growth in the three prior years. It’s yet too early to show results for Porch’s impact for 2022. We expect to embed Insurance into the Floify experience very soon and make the closing process better for consumers and loan officers. This -- I will note that is a substantial opportunity and we expect will be another strong proof point in the power of our platform and strategy. I am also excited today to announce the newest acquisition Residential Warranty Services or RWS. RWS acquisition was signed yesterday, as I noted, with the closing expected in early second quarter of 2022. With certain parts of the business subject to regulatory approval. RWS is one of the key companies operate in the home inspection space, providing CRM software, we call check software and specific inspection-centric warranties for more than 1,000 home inspection companies. They also distribute full annual Home Warranty products through real estate agents across the country, which helps us move our Warranty business and strategy forward. For Porch it just clearly a great fit after working as partners together for many years and strengthens our market leading position in the strategic home inspection industry. RWS’ unique and great products in the inspection of warranty industries that will plug right into offerings with other changes we will make to align with our visions and values. Here on slide 34. As mentioned, we expect RWS to contribute approximately $8 million of revenue impact in 2022 based on annualized $10 million in revenue. This revenue is recurring and will be split between B2B software fees and warranty, which is part of our Insurance segment. Regarding growth, RWS has a three-year CAGR of approximately 6.5%. Given it’s very unique and strategically relevant products, we fully expect to accelerate the growth rate of this business. And lastly, we expect the business to be slightly profitable in 2022 and purchase price, RWS was $33 million, $29 million of which is in cash or slightly more than 3x driving multiple. So before we wrap, I want to take a moment to share updates on our path to profitability and mid-term revenue targets. In 2021, we demonstrated strong revenue growth, M&A capabilities and consistent ability to execute. In 2022, we expect to leverage the advantages of our platform and continue to grow our vertical software businesses and our high margin and capital light insurance business, as demonstrated by our guidance today of $320 million in revenue and $600 million in gross written premium. On the next slide, I will provide some additional disclosure related to the target milestones of getting to profitability in the second half of 2023 and 2024. Then on the following slide provide an update on our $1.5 billion mid-term revenue target we shared at our IPO. So here on slide 37, in 2021, Porch operated at 41% contribution margins, demonstrating our very high underlying profit potential. At the 2022 guidance of negative 9% adjusted EBITDA margin, we aren’t very far away from beginning to operate profitably. And this slide can help to provide visibility into why we are targeting profitable operations in the second half of 2023 and full year of 2024. As you can see in blue in the pie chart on Slide 37, the majority of our $74 million of sales and marketing expense in 2021 is related to B2B software and services. Selling, onboarding, supporting, incenting, retaining and upselling to companies, approximately 41% of sales and marketing is tied to consumers. So it will be on our Moving Concierge team, all of our Insurance agent teams and more limited direct-to-consumer spend, such as by American Home Protect’s direct mail programs. Here as we continue to create more self-service capabilities, such as the ability to bind insurance online, it creates opportunity for margin expansion. As for fixed expenses, we have historically invested aggressively in product and technology and other fixed expenses as we build out our platform and invest for long-term growth. We wanted to highlight specifically some of the larger of these investments, many of which do not need to be continuing areas of capital deployment over time. These investments include key strategic bets such as the integration of data across our businesses into the Porch platform, creation of our consumer app and other digital experiences, development of new software modules across our verticals, proprietary pricing improvements for insurance and the development and integrations of systems related to SOX and operating at scale. As we look ahead, there is opportunity to slow fixed expense growth rates and continue to see margins improve. So last thing here on Slide 38, we wanted to revisit our previous mid-term revenue target of $1.5 billion. We remain confident in our progress towards this target in a mid-term number of years and are ahead of our internal schedule after our strong 2021. As we discussed during the process of becoming a public company, we believe we are on the path to substantial revenue growth, via growth in our existing software verticals, entrance into new verticals likely through M&A, and the corresponding impact the demand and the data creates for our expanding Insurance business. Lastly, scaling mover marketing for brands as well, we have the right strategy and levers to build a large and enduring business. And with our massive $320 billion TAM, at $1.5 billion in revenue, we would be less than 1% penetrated against our opportunity. In other words, we are just getting started. To recap, we had a great year. I am fired up for 2022. And with that, the management team will now take your questions. Walter, if you can please open up for Q&A.
A - Walter Ruddy: Thanks, Matt. First question is from Jason Helfstein from Oppenheimer.
Jason Helfstein: Hey, guys. Thanks. I am going to ask two. So one on InsurTech, the market does not seem to like InsurTech lately because of risk and the view that these companies may not really have the systems to properly assess risk, which is part of the offering. The way you run your InsurTech business, you do sell the majority of that risk. And so I guess, how do you get that message out there to the investment community that while it’s InsurTech, it’s not the same type of InsurTech model that others are looking at? And then the second, while we do appreciate the multi-year kind of detail, can you help us understand maybe organic pro forma growth rates in the quarter and is -- or is that just something we need to maybe to wait for the 10-K for? Thanks.
Matt Ehrlichman: Matthew, do you want to the first one, and then I can take the second?
Matthew Neagle: Sure. So the reality is we are operating a capital-light strategy with our Insurance business. And I think some of your question, Jason, is how do, we get that out to the investor community. I mean, one of the things that I can point to is in the next quarter, we will do a deeper dive and so we will be able to share in more detail what our insurance -- our reinsurance strategy looks like holistically. What I can say though is, we feel confident in our ability to continue with the approach that we have, which is a capital-light approach, it’s a low-volatility approach. Some of the details I can share now. We renewed some of our reinsurance programs here in January. We will renew another part in April. And so, we have a little bit of work to do. And so as we get all of that wrapped together, we will share with you guys what we are thinking about for 2022. The only thing that I will share is, the reinsurance market has generally hardened. And so, it does mean reinsurers are charging more and that’s impacting pretty much everybody, including us. But even with that backdrop, because of the way we operate our business, we are going to have access to -- we have access to proprietary data, and we have historically done well from an attritional loss ratio perspective, we are an attractive partner. And so just -- it gives us confidence that the strategy we have employed is the right one. And then in terms of getting out to investors, we -- maybe Matt, I don’t know if you want to add anything to that to the InsurTech.
Matt Ehrlichman: Yes. Sure. Well, last thing to add and then I will hit on the organic growth question. I think at the end of the day, Jason, it just comes down to the results, and our results are just dramatically different than the peers that you are talking about. The margin -- underlying margins, revenue less cost revenue margin is just dramatically different, is just a fundamentally different business, the amount that we cede out to reinsurers is fundamentally different. And so part of this is just an investor education story for us because it is significantly different and the underlying results in terms of the actual loss performance is just fundamentally different. And so, we will just share that over time. In terms of the organic growth question, I will take that. As we have talked about, we don’t break out organic growth specifically, as one of the ways we grow our business is through the acceleration of companies that we have acquired, and we do believe that credit goes to Porch and our platform. Obviously, we have shared today the acceleration we have seen of those largest past acquisitions to just really provide definitive data there. I’d also note that there is an added benefit. Not only did those acquisitions grow faster, they are also helping other businesses of ours grow faster. But just to make sure that the data is super clear. As Marty talked about, if you assume the 2021 acquisitions we had done last year had been acquired as of January 1, 2021. Our 2021 pro forma revenue would have been $220 million based on that assumed revenue acquired at the time. And so you can compare that to $320 million in revenue for 2022, which is 45% growth or you can compare it to $302.5 million, which would be 2022 revenue without CSE and RWS, like I mentioned, and that would be 37% growth. So we are just making the different data points available, so that’s clear.
Jason Helfstein: Thank you.
Walter Ruddy: Next question is from James Holly from Stephens.
James Holly: Hey guys. How are you? Thanks for taking the question. So first one here, just given the improvements in gross margins. Can you talk to us again about some of the expectations for our margin progression from here? Is it still kind of the same hundred bps improvement each year are we kind of seeing a new hire jumping point. So you have talked about 25% -- EBIT margins over time is that still kind of something to think about as far as a long-term target?
Matt Ehrlichman: Yeah. Sure. And we put that out there today in terms of the 25% adjusted EBITDA target for our long-term. We continue to feel confident in the underlying profitability of the business. As you can see from not only that gross margin metric, but the contribution margin metric from last year as well, so yeah, we continue to feel. I am confident in that 25% long-term sort of.
James Holly: Okay. Got you. And then just one more here on the American Home project and then plus RWS now, can you talk to us about kind of what you are envisioning there and the warranty business and how it’s progressing and any synergies between the two that they are going to kind of go forward from here?
Matt Ehrlichman: Yeah. We think that the warranty opportunity is significant strategically for the business, not only because we need so many homebuyers early in the home buying process, then it’s a natural time to buy warranty, but also because of the data that we get from our homes, right? We know that to make model serial number of appliances and systems. Clearly, that gives us opportunity over time to be able to assess risk more effectively there be able to price warranties more effectively. I’d also say though, as I noted, we do think there is an opportunity to be able to bundle warranties with insurance, but we think that the future of how one can protect your home and be able to maintain your home more easily is different than what it is today. We are insurance and warranty and then handyman tech services, maintenance services are just completely bespoke. We think there is, opportunities and I am really excited about some of the work. The team is going to start bringing those together and making it easier for consumers. So, yeah, as I mentioned, we are very excited about the growth that we had there.
James Holly: That’s it. All right. Thank you, guys. Appreciate it.
Matt Ehrlichman: Thank you.
Walter Ruddy: Next question comes from Daniel Kurnos from Benchmark.
Daniel Kurnos: Thanks. Just a quick housekeeping, I guess maybe for Marty the $7.5 million impacts to HOA, is that all does that annualized or did most of that flow through in the quarter?
Marty Heimbigner: The $7.5 million was for the -- nine month period that HOA was part of our Group we acquired them in early April and so it impacts all three quarters.
Daniel Kurnos: Okay. Got it. All right. Matt two questions, one just I mean looking you kind of laid out the premise that you haven’t included anything from data usage, B2C [ph] launch all this other stuff in your forward outlook. So I know that you are talking about going to market in the back half of this year to the regulators and just help us think through, order of magnitude of benefit from those kinds of initiatives, B2C exit contribute meaningfully in 2023. Just help us kind of think through that a little bit more?
Matthew Neagle: Yeah. I was going to say I wouldn’t count on much right those in 2022. Because I have the timing what our plans are. But, yeah, as we look ahead, I mean we are, it’s a big opportunity for us. Clearly as we rebrand some of our properties into Porch. And it gives us the ability to start opening up new ways till that to reach consumers, that’s obviously a big opportunity. It won’t change our core focus of going and selling software to businesses and creating this unique early access to consumer, but clearly it’s another lever that will have at that point in time. So and then, and the same with pricing as we think about leveraging the data as I noted in our priorities for 2022, it is one of our top priorities is to start to be able to see that come through and we are looking forward to demonstrating proof points in a future earnings call and is laying out very definitively how that can help us over time. So again, the way that you recognize revenue for insurance, I wouldn’t expect to have a material impact in 2022, but as we look ahead yes for 2023, yeah, certainly that will help us.
Daniel Kurnos: And then on RWS and you actually kind of mentioned this a little bit in your response second ago and I know I have asked you this off the cuff. But now that for example Exela has moved to an asset-light model and you have got something that as a unique products that is sold through real estate agents. How do you think about like expanding your partnership opportunities given that you had sort of a unique dataset that a lot of other asset-light verticals similar to Exela might be interested in?
Matthew Neagle: Yeah. I will take this one also, because the reality is our businesses based on partnerships in some respect, right? We sell software, it’s now 24,000 companies who we then are partnered with and use as a way to be able to meet their consumers and to help now to your point question. Yeah, there are larger partners out there, where there are very significant partnership opportunities. And as we have gone deep into insurance and deep at home warranty and all these integrations across the moving landscape that clearly is an opportunity for us to plug those experiences in into different partners and we have a lot of proof points historically of doing that really well. So I mean some more to come there certainly over time.
Daniel Kurnos: Thanks, Matt.
Matt Ehrlichman: Thanks Dan.
Walter Ruddy: Thank you. The next question is from Ben Sherlund from Cantor.
Ben Sherlund: Hey guys. Thanks for taking my questions. So going back to the, sorry here one second, looking at your initial 2022 guidance. This implies 312 million RWS contribution, which will be roughly at the midpoint of your framework for how we should think about the 2022 revenues that you issued on the 3Q guide our framework you laid out. And so if you have been estimating 7.5 million in HOA claims fee revenue? I assume you are including that into 2022 guidance framework. So my question is, now you are including this you are not including as revenue in your updated guidance is roughly at the midpoint of your 3Q framework and how should we be thinking about this should we thinking about you are increasing the prior range by $10 million or however much you were originally having in there? Thank you.
Matt Ehrlichman: Yeah. I mean, just to be clear, we had actually provided 2022 guidance before today but -- yeah, clearly had the historical revenue recognition approach of HOA continue going forward. Yeah, revenue guidance would have been would have been $10 million or higher. But just to make sure the point that we included in the script was clear revenue guidance for 2022 is $302.5 million plus $10 million from CSE plus $8 million from RWS which builds up to that $320 million number.
Ben Sherlund: Okay. And so, I am little bit confused so you said that the or $7.5 million impact was spread through the nine months, it wasn’t just in the fourth quarter.
Marty Heimbigner: Yeah. So they that issue impacted our guidance for the entire nine months and we changed the accounting in the fourth quarter so that the full year is properly stated at $192.4 million of total revenue.
Ben Sherlund: Okay. Thanks to all you guys.
Matt Ehrlichman: Thanks, Ben.
Walter Ruddy: Thanks. The next question is from Ken Wong from Guggenheim.
Ken Wong: Hey. Great. Thank you for taking my question. Okay. Can you guys hear me okay. Hear an echo.
Matt Ehrlichman: Yes.
Ken Wong: Hello.
Matt Ehrlichman: We have got an echo to Ken.
Ken Wong: Okay. Let me see just give me one second no I think….
Walter Ruddy: Ken Wong, maybe we go to Mike Grondahl from Northland and then we will come back to Ken.
Mike Grondahl: Yeah. Thanks guys. The average number of companies increased from roughly 11,000 to 24,500 about 13,500. Can you break out between organic and inorganic and that number really didn’t slowdown much this year and you have been saying its go slow for a while. How do we think about it for 2022?
Matthew Neagle: Yeah. I can that we don’t report out. First of all, we don’t report on -- our organic versus acquisition by quarter, but we generally when we acquired companies we tell you kind of what the number was. Then -- and then obviously all of our energy is going into accelerating that number. So we have continued to see growth across our businesses is because of our focus on, it’s not only selling, but also improving our product offerings or our software businesses. We have been pleased with the success so far, but we have indicated, we don’t expect the growth rate to continue at the same rate. And so that is guidance we continue to give. In this quarter we have the benefit of four, five, which is 1500 and that business accelerated so they did better than we expected this quarter. So we continue to see growth -- we will continue to see growth just as we expected at a lower rate, but we are not guiding towards a specific rate at this time.
Mike Grondahl: Got it. And then maybe Matt the Porch app in some of the demos that you were described, could you talk a little bit about the go-to-market strategy for that is that going to be through the moving concierge with the email and contact. And how is the consumer going to find out about the Porch app?
Matt Ehrlichman: I will start and then Nicole layer in as well. But the same approach today make that we have for interacting with consumers. So we are focused on meeting consumers and as unique proprietary moments through the companies we provide software to and that those companies give us very early access and so in the calls team is focused on integrating both the app and our other digital experiences into that those offer close with those consumers. So for example, somebody gets a home inspection. Let’s go ahead and provide them additional supplementary information that inspection by downloading the app right. And so that’s the real incentive to the consumer to download that app and then to be able to make that risk that moving process easier be the same type of approach that we think about with mortgage companies are title companies or others, as we go.
Mike Grondahl: So it will be embedded into that experience or that..?
Matt Ehrlichman: Our approach has been, it’s been very successful for us is to be able to embed different experiences for those consumers who are going through our companies that we partner with. And I will just take the moment to again just reinforce, as an example separate from the app but embedding insurance in the Floify the teams have been working on really since we had completed the acquisition of Floify. We are getting close to be able to launch -- in such a natural thing to do right. So as a consumer is completing their loan application loan process well now insurance just built in, right? So those are different ways that we use our platform use the APIs to be able embed these different experiences into those software of course.
Nicole Pelley: I’d echo that just our plan is to go-to-market, primarily through the companies that we have right software sale. We are live in a closed data with inspection companies right now. And just like Matt talked about embedding insurance into Floify. We make, it really easy through the apps your inspection report and get the details of your inspection with your my home area for customers. So just continuing to add more and more value to these customers and then be able to help them with all the services they need as part of their mails. So we can build this long-term relationship with those consumers ongoing.
Mike Grondahl: Thank you.
Walter Ruddy: Go back, Ken.
Ken Wong: Right. Can you guys hear me okay this time.
Walter Ruddy: Got you, Ken. How are doing?
Ken Wong: Okay. Fantastic. You are doing great. So just a quick questions and really appreciate the long-term EBITDA targets, but I think when we think about your business. You guys have been very successful on M&A and that remains a key part of the strategy. I guess how should we think about the willingness to prioritize that, that those EBITDA targets relative to a strategy somewhat baked on M&A?
Marty Heimbigner: Well, generally, we have acquired companies that are not losing a substantial amount of money of EBITDA. So as we layer those companies and we wouldn’t expect it to take us backwards generally. And as we showed today as we accelerate the growth of those companies, we are able to get them in line with generally with our margin targets. And so, our plan is to continue to do what we have done over this last year and change as being a public company. We are acquiring companies improving those companies and still driving to those same long-term margin targets. We don’t think that part of our strategy impacts those long-term targets.
Ken Wong: Got it. So with that apply to, let’s say, more of the tuck-in type acquisitions you guys have done or just as you think more broadly about just the financial profile of the companies you guys prefer as part of that -- you probably wouldn’t see a step back almost regardless? Thank you.
Matt Ehrlichman: Yeah. Generally, we would not be targeting companies that are going to take us away from being able to achieve our long-term target. So we are looking for companies both that our competitive advantages, strategic fits accretive, but we are going to accelerate and we are going to be aligned with our margin goals.
Ken Wong: Got it.
Matt Ehrlichman: And so far, we have been successful at that…
Ken Wong: That’s going to be tough for Marty, but you guys have been doing well. Thanks a lot, guys.
Matt Ehrlichman: Thanks, Ken.
Walter Ruddy: Thanks. We will take a quick one from the audience. What are you seeing in terms of impact of the housing market on your business?
Matthew Neagle: So we have really not seen a tremendous impact from the COVID pandemic impact. Yeah, there was some during 2020 through about May 2020, but now we have recovered and it’s been relatively stable in that going forward so.
Matt Ehrlichman: I will also just add that we have a natural hedge, given the home inspection industry and the dynamics of how the home inspection industry works and given that’s our top of the funnel that does create hedge when the market was booming last year fewer homeowners as a percentage, they were buying homes, got a home inspection and as the volume of just general home transactions, home purchases slows, more people are getting their home inspection. And so the thing, I suppose, we should stress and note there is we haven’t seen a substantial impact and our guidance for 2022 takes into account what we are seeing in the macro housing market.
Walter Ruddy: Thanks. One more from the audience, can you give any thoughts or should the stock pressure seen over the last couple of months?
Matt Ehrlichman: Sure. I suppose, I was wondering if we would get a question around that, but I will give just my quick views. I view and I think we generally view the last three months to four months of stock pressure as noise, short-term noise. I mean, I told the team at the beginning when we went public and I continue to tell them just to ignore the noise. If we build what we expect, the value of this company will take care of itself. I would say that our performance is strong across the business. We believe the results, including the growth and the margins the 2022 guidance again speaks for itself. Maybe two more points. I believe -- I mean it’s quite clear to me that over these last three, four months, we were getting lumped into buckets of companies, companies that have gone public via SPAC, insurance-related companies, to Jason’s earlier point, real estate-related companies. And the fact of the matter is across these different groups of companies, there have been many that have not performed and even struggled. And so, we are getting caught in their underperformance, even though our business is a different model, different strategy, diversified revenue streams that are completely different margin performance and profiles and just that our business is performing. So my view is we deliver against our 2022 guidance of $600 million of gross written premium in insurance. And separately, $190 million of Vertical Software revenue and it’s clear to me that the company valuation will take care of itself.
Walter Ruddy: Thanks Matt. The next question from Ryan Tomasello from KBW.
Ryan Tomasello: Hey, guys. Thanks for having me on and for taking the questions like you are okay?
Matt Ehrlichman: Yes.
Ryan Tomasello: Great. I guess, Matt, I was hoping you can discuss the pricing power that you see across the Vertical Software brands more broadly. I know that you recently pushed through some price increases there on the inspection side. So, curious how that has performed relative to expectations and if you see additional opportunities there near-term and as a follow-on to that, in terms of the pay-at-close module within the inspection product, can you discuss how that rollout is going across the existing client base and if the guidance for 2022 contemplates a meaningful contribution from that new product?
Matthew Neagle: I can take this, Matt. I will first speak to, we generally are going to evaluate our pricing on a regular basis. And certainly, given the market dynamics with inflation, it’s a timely topic for us internally. And we believe we offer a lot of value, we believe a lot of these companies that we acquire have been taking a value-based approach to their pricing, so we do expect there to be further pricing improvements as we look across our software businesses. You asked specifically about ISN. We did roll out a price increase there, and the team forecasted a certain amount of impact and it just didn’t happen. And so to me that was a testament of just how valuable that software is to these businesses. I mean it’s so deep into what they do that we certainly have some pricing power from that. And we are moving on our ability to offer more value to these companies so we can be a bigger and bigger part of their business, which is only going to help us to increase our pricing power. In terms…
Matt Ehrlichman: Before you go to the next one, I want to clarify one thing there on pricing. Matthew said they forecast a certain amount of impact. We built in essentially some conservative estimates on what attrition might be and we didn’t see that happen. And so it was a very positive move that then creates that much more incentives for companies to also want to switch to paying in part with consumer access. Two aspect things, and then, Matthew, go back to pay-at-close on those pricing. We have also rolled out pricing impact into our title software that also has gone well. And then lastly, there is pricing on the consumer side also. So we have talked about how we have increased pricing along with the market tied to insurance over the course of this last six, nine months. And so that also has been part of our strategy just to get out ahead of what Matthew talked about before. With our knowledge of the reinsurance market, we have been out ahead of those changes with pricing there also.
Matt Ehrlichman: The short story on [inaudible], we are very excited about pay-at-close. The team is moving forward on that. There have been some key partners of ours who have signed on to be a part of it that we are excited about. We have included a little bit into the plan, but the team has upside to their plan. And so if that product takes off like we think it can, we could see some nice tailwinds for the business from that for that part of our business.
Ryan Tomasello: Great. And then, I guess, a follow-on to the audience question around the housing sensitivity. Maybe just putting more of a finer point around that, I think the market probably is continuing to digest the various market dynamics for Porch. And I think it could be helpful to get a sense of how you think the business would react hypothetically if we did kind of get into an environment of weakening housing fundamentals, say, home sales declining 10%, 20%? How, at a high level, that would flow through the business, the various segments. I hear what you are saying around the dynamics around inspections being waived and that being a very new -- a big nuance of the pandemic. But I guess absent that, how you are thinking through it. And then more particularly for Floify, if you could say what you are assuming there in the 2022 guidance and really if that business has any sensitivity beyond the I know 30% refi excluded that you called out, say, to declining industry headcount, as an example?
Matt Ehrlichman: Yeah. One of the things we liked about Floify, though, is that the way that it’s price does not like other software companies that might price on the transactional side, they price on a normal SaaS subscription fee. And so, there really isn’t exposure with Floify to refinance volume going up and down. Even on the small portion of its business that handles refinancing, that doesn’t impact its revenue directly, and it’s focused on segments of the market that are very home purchase-oriented. So no, we don’t have exposure from a Floify perspective into the changes in the market there. Maybe that wasn’t fully understood previously. I think it’s an interesting deep-dive in the future to be able to really show sensitivity to the housing market. But again, one thing that Matthew highlighted before, between insurance at 40% of our revenue and the core of our Vertical Software being the B2B SaaS fees in the majority that together represents 70% of our revenue, which is just very consistent, very predictable recurring revenue. And so really it’s a small portion of our revenue that would even have sensitivity. And there’s just so much upside in terms of conversion opportunity that we will just grow through even if there is a little bit of decline. So, again, I just would want to stress, we have built in assumptions around the housing market slowing into the 2022 guide based on everything that we have seen. So that is built-in at this point.
Ryan Tomasello: Thanks.
Matt Ehrlichman: Thanks, Ryan.
Walter Ruddy: Thanks. Next question from Mark Schappel from Loop.
Matt Ehrlichman: Hey, Mark. I think we are having a bad audio connection with you. Walter, will you go ahead and mute that and go to the next one?
Walter Ruddy: We will jump to Justin Ages from Berenberg.
Justin Ages: Hi. How are you guys doing? Thanks for taking the question.
Matt Ehrlichman: Hey, Justin.
Justin Ages: Just a couple of quick ones, can you provide an update for market share of some of the Vertical Software services like inspection or title where you guys stand now?
Matthew Neagle: I can take that. We don’t report out on market share numbers on a quarterly basis. What you can see, though, is our number of companies, are growing and that is going to imply increasing market share. We do periodically do deep-dive snapshots, and so we are committing to doing that -- periodically, we will do that. But otherwise, we don’t have an update to share at this time.
Matt Ehrlichman: I suppose we can just reinforce what we have communicated previously, which is our title software handles more than 30% of all the U.S. home purchases. And at the time that we had acquired Floify, it was handling about 1 million loan applications a year in terms of what the volume was. Obviously, we would expect those businesses and share to grow as we look ahead. So that was the last data point.
Justin Ages: All right. That’s helpful. Thanks. And then can you give us a little more color and help me understand the kind of delta between the gross written premiums growing and the revenue -- the insurance revenue similarly growing faster than that. Is that kind of the synergies of bringing all these products under one roof?
Matthew Neagle: Are you specifically saying what was our revenue as a percentage of gross written premium in Q4 versus 2022 guidance?
Justin Ages: Yeah. Let’s gets to it.
Matthew Neagle: Yeah. There -- I think the thing to keep in mind is some of the impact of that -- how we account for the HOA claims fee would have impacted Q4. There would have been some light seasonality as well that would have been in there. We have been around that 21% this year. And so, we are improving it a little bit next year, but I would have you think about that more as a stable -- more of a stable number at this point.
Justin Ages: All right. Appreciate it. Thanks, guys.
Matt Ehrlichman: Thanks, Justin.
Walter Ruddy: And turning to Ygal Arounian from Wedbush.
Ygal Arounian: Hey. Good afternoon, guys. I want to go back to the app. It looks really interesting and it feels like an opportunity to kind of connect with the homeowner directly just by -- it feels like a great way to manage your home on an ongoing basis. So why not push that channel, is it not cost-effective? And if you are not doing that, what are the benefits of going through the current channel you are going through? How does that -- what is the help improve its helping retention and conversion across products just what are you expecting it to actually achieve given the kind of investment and effort behind it. And then second question, just broadly around M&A obviously done a lot there, it’s been a huge contributor for you guys filled, a lot of holes, do you think there’s still a lot to fill? Is it more about kind of going deeper in insurance warranty and where you are? And does the M&A pipeline kind of narrow do you keep going to pushing the way you have over the past couple of years, just how is the M&A but thoughts on M&A changed over the last year, given what you have pulled in into your business? Thanks.
Nicole Pelley: So, Matt, I think, the first one, if you want to, if you want to take the second one, so on the app. So our primary go-to-market, as you go access customers through company, so our B2B2C strategy. And we just believe there so much opportunity to build a long-term relationship with these customers so adding more value during the move being able to help them with all the services within the move and then being able to build this long-term relationship where we continue to help them with their insurance and warranty and services that they need on their home. So the app to me is just, it’s a key strategy for us to build this long-term relationship continue to help us all the services, not only with the move, but also beyond the move. I could see us going direct-to-consumer at some point. I think there is so much opportunity for us to be able to help these consumers to our companies. And so that’s where we will focus our go-to-market efforts to start. And then potentially go direct-to-consumer in the future.
Matt Ehrlichman: Yeah. And the reason why I just because we have a huge advantage there, right? And we have so many of the U.S. homebuyers, who are the key customers here for us in terms of the purchases that we may as well I will start with the lowest hanging fruit in the least expensive customers and then continue to open up more and more, but I agree with you -- there is certainly as you look ahead, that will be a clear opportunity for us. And then in terms of M&A, we don’t feel pressure to have to go do lots of deals. I mean we aren’t going to go reach. But, yeah, I would expect that we will do other M&A transactions our platform is working well. We are bringing in great new talent to the team were capitalized to be able to do deals when the right one presents itself. I think the categories would be the other companies in our existing verticals the software verticals. There might be opportunities to be able to enter into new software verticals as well that we are not in today that are good fits for our platform we can execute our strategy. And then other services for consumers whether is to go deeper and insurance and warranty perhaps layer in new services for consumers over time, generally, we would be looking across those three areas.
Ygal Arounian: Okay. Great. Just a quick follow-up did you say I may have missed it when you expect the apps launch out of there?
Nicole Pelley: Yeah. We are in a closed beta right now, I would expect we will be out of the closed beta middle of the year timeframe.
Ygal Arounian: Okay. Thanks, guys.
Matt Ehrlichman: Thanks.
Walter Ruddy: That concludes the portion of the call related to Q&A. Matt for your last comments.
Matt Ehrlichman: No. I just I appreciate the interest and the questions. Thanks everybody for the time. We are, as I said, just excited about where we are positioned and what this next year is going to look like. So we are looking forward to seeing you all on the next call coming up. With that, have a great... [Ends Abruptly]